Operator: Good day, and welcome to the Cineplex, Inc. first quarter conference call. Today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Pat Marshall, Vice President of Communications and Investor Relations. Please go ahead, Ms. Marshall.
Pat Marshall: Good morning. Before beginning the call, we'd like to remind you that certain statements being made are forward-looking and subject to various risks and uncertainties. Such forward-looking statements are based on management's beliefs and assumptions regarding the information currently available. Actual results could differ materially from those expressed in the forward-looking statements. Factors that could cause results to vary include, among other things, adverse factors generally encountered in the film exhibition industry, risks associated with national and world events, discovery of undisclosed material liability and general economic conditions. I'll now turn the call over to our President and CEO, Ellis Jacob.
Ellis Jacob: Thank you, Pat. Good morning and welcome to Cineplex, Inc.’s 2016 first quarter conference call. We are pleased you could join us today. I will begin by providing a brief overview of our first quarter results as well as a summary of our key accomplishments during the period. Then we will take a look at some of the most anticipated films of the summer film slate. At the conclusion of my remarks, our Chief Financial Officer, Gord Nelson will provide an overview of our financials and then we will follow with our question-and-answer period. I'm very pleased to report that Cineplex achieved record first quarter results for 2016. Total revenue increased 30.8% to $378.9 million and adjusted EBITDA increased 42% to $57.1 million both first quarter records. Additional first quarter records will establish for box office revenue, food service revenue, BPP and CPP and re-establish and all-time quarterly attendance record of 20.6 million theater guests. The strong performance of the film slate, our success in food service as well as the additional revenue derived from the consolidation of Cineplex Starburst Inc. following our acquisition last year contributed to the record first quarter. Media revenue continued to grow this quarter largely due to revenue from Cineplex Digital Media. Gord will share the balance of our record setting first quarter results with you in a few moments. Now I will take time highlight some of our key accomplishments during the first quarter. Star Wars: The Force Awakens continued to perform well in January becoming the highest grossing film of all-time in North America. Other top performing films during the quarter included Deadpool, Zootopia, The Revenant and Batman v Superman: Dawn of Justice which recorded the highest grossing March opening weekend of all-time. These successes reinforce the message that theater guest want great movies from all demographics year round and will come out in large record breaking numbers to support that. In March, we opened Cineplex Cinemas Marine Gateway and VIP in Vancouver, British Columbia. It is a two-storey 11 screen theater with seven traditional auditoriums and one UltraAVX auditorium with D-BOX motion seats on the first floor. The second level is home to Delta on Vancouver's first VIP cinemas with three licensed auditorium and a licensed lounge. Later this year, we will open our eighth screen Cineplex Cinemas North Bay [ph] and 11 screen Cineplex cinemas [indiscernible] and VIP both in Ontario. We continue to enhance and expand our premium offerings and recently announced plans to significantly expand our existing D-BOX footprint of 44 auditoriums by an additional 23 auditoriums. Subsequent to the quarter end, we also announced a new partnership to our 4DX immersive theater technology to Cineplex Cinemas Yonge-Dundas and VIP in Toronto this summer. A 4DX auditorium features specially designed motion chairs and add special environmental effects like when wind, mist and scent all working together with the action on the big screen. This is the first in Canada and we're pleased to provide another exciting entertainment choice for our theater guests. Moving onto Media; this area of the business comprise of Cineplex Media and Cineplex Digital Media continued to experience growth during the quarter. Cineplex Media revenue influences [ph] were driven by growth in the automotive category as well as new media initiatives including WorldGaming and increased revenues from our digital bolster cases where mobile and interactive media is up. Cineplex Digital Media also experienced increased revenues year-over-year as their client base continue to expand resulting in increased project installation and advertising revenue. And as previously announced, Cineplex Digital Media expanded its client base by becoming American Dairy Queen Corporations endorsed provider or in-store digital merchandizing solutions for Canada and The US. Looking at amusement gaming and leisure. We continue to move forward with the launch of The Rec Room Canada's premier social entertainment destination and announced our first Toronto location at the historical John Street Roundhouse across the street from the CN Tower. Plans are already underway for 2017 opening. Our first location to open is our South Edmonton location which is under construction and set to open to later this summer. During the quarter, Cineplex Starburst Inc. requires the remaining 20% of Brady Starburst Limited that it did not previously owned. Brady Starburst is one of the largest distributors of amusement and vending equipment in The US. Moving to SCENE; our SCENE loyalty program continues to grow. During the quarter, we added another 200,000 new SCENE members. This brings our total as of March 31, 2015 to more than 7.5 million SCENE members. Now let's take a look at some of the films for the summer. Was the year off for action and adventure or romantic-comedy or an animated children's feature, there are movies for everyone. We've kicked off an exciting second quarter with The Jungle Book which continues to do well in our theatres. On May 6, we launched Captain America: Civil War in 3D, on May 20th Angry Birds the movie that is based on the very popular app opens, then we end the month of May 27, with the launch of X Men: Apocalypse and Johnny Depp starring the sequel from Alice Through The Looking Glass also in 3D. On June 3rd, the Teenage Mutant Ninja Turtles are back with Out of the Shadows followed by the action adventure film Warcraft. On June 17th, the highly anticipated sequel to Finding Nemo hits the big screen with Finding Dory in 3D. On June 24, two decades after the first Independence Day they filmed invaded theaters, we have Independence Day: Resurgence in 3D. July film line up looks strong with Canada day launch of Steve Spielberg's The BFG or The Big Friendly Giant. On July 8th, I think every pet lover in the country will want to see The Secret Life of Pets as it finally shares with us, what our pets really do when we leave them on their own. On July 15, we have the return of the cult, classic Ghostbusters and this time featuring all female [indiscernible] cast. On July 22nd, Ice Age: Collision Course in 3D will be sure to please families and Star Trek Beyond is sure to satisfy the adult and trekkie fans alike. We end the month on July 29, with the launch of the action thriller Jason Bourne with Matt Damon starring. On August 5th, Suicide Squad in 3D jumps from the streets of Toronto which was filmed last year to the big screen and there's a lots of good buzz about this movie. Then on August 12th, is the family fantasy adventure film Pete's Dragon starring Bryce Dallas Howard and Robert Redford. On August 19th, the classic film Ben-Hur returns to the screen in 3D and we end the month with the animated comedy from Andy Samberg entitled Storks. As we can see the summer truly does have something for everyone. Before I turn the call over to Gord, we'll provide an in depth overview of our financials. We were pleased to announce a 3.8% increase to our dividend from $1.56 to $1.62 per share on an annual basis. The increase will be effective with the May 2016 dividend and payable in June 2016. I'm proud to say that Cineplex has increased its dividend every year since the company converted to a corporation in 2011. Finally, I would like to take a moment to congratulation Gord Nelson on being named Canada's CFO of the Year for 2016. This prestigious award is presented annually on a senior financial leaders, who've made significant contributions to business in Canada, while demonstrating quality, insight and integrity. Those attributes and more certainly describe Gord. Please join me in congratulating Gord for the well-deserved recognition. With that, I'll turn the call over to Gord, Canada's CFO of the Year.
Gord Nelson: Thanks, Ellis. I'm pleased to present the first quarter financial results for Cineplex Inc. For your further reference our financial statements and MD&A have been filed on SEDAR this morning and are also available on our Investor Relations website at cineplex.com. As Ellis mentioned, Cineplex reported first quarter records for all revenue categories as well as for BPP, CPP and adjusted EBITDA. Attendance was in all-time quarterly record. And total revenue increased 30.8% to $378.9 million and adjusted EBITDA increased 42% to $57.1 million. Cineplex's first quarter box office revenue increased 23.5% to $192.6 million as compared to $156 million in the prior year. As a result of attendance increase of 17.4% and a BPP increase of 5.2% to $9.36, a first quarter record from $8.90 in 2015. Our premium product percentage in the first quarter increased to 40.4% of box office revenue in 2016 from 25.3% in 2015. The impact of premium price product and the average ticket price was $1.04 for this quarter as compared to $0.57 in the prior year primarily due to the success of 3D product, with three of the top five films in 2016 being released in 3D as compared to none in the prior year. Food service revenue increased 23.4% to $121 million as a result of the higher attendance and a 5% increase in concession revenue per patron to $5.44, a first quarter record. The CPP growth was primarily result of higher average transaction values as a result of expanded offerings including those from Cineplex's VIP cinemas Total media revenue increased $4 million to 13.7% to $33.1 million for the quarter. Cineplex Media revenue which is primarily theater baked increased 5.4%. Cineplex Digital Media revenue increased 32%, with increased project revenue for recently announced new clients including A&W and American Dairy Queen, in addition to growth in existing and new business opportunities including advertising revenue from the Tim's TV network deployment and the Oxford Properties Group digital installation. With the acquisition of the remaining 50% of the equity of Cineplex Starburst Inc. on October 21st, 2015 we began consolidating their results during the fourth quarter of 2015. Other revenue includes $23.3 million of gaming revenue arising as a result of the consolidation of CSI's results. During the first quarter, CSI acquired 20% plus interest in its indirect subsidiary Brady Starburst Inc., which did not already owned for $0.4 million. Turning briefly to our key expense line items. Film cost for the quarter came in at 55.7% on box office revenue as compared to 51.4% reported in the prior year. The increase in the film cost percentage as a result of a significant increase in box office revenue and the concentration of the box office revenue from the top five films in the current period. These five titles accounted for 49.3% of box office revenue as compared to the top five Q1, 2015 titles which represented 32.4% of box office revenue. The top four films in the first quarter of 2016 each out grossed the top title in 2015. These top films tend to have higher settlement rates than the other films in the slate during strong performance. Cost of food service for Q1, 2015 was 22.6% as compared to 21.4% in the prior year as a result of the mix of food offerings including VIP offerings. Other cost of $189.4 million increased $38.5 million or 25.5%. Other cost include theater occupancy expenses another operating expenses and general and administrative expenses. Theater occupancy expenses were $52.7 million for the quarter versus a prior year actual $51.1 million. Other operating expenses were $117.6 million for the quarter versus a prior year actual of $80.9 million, an increase of $36.7 million. Major reasons for the increase include the increased record business volume and the consolidation of CSI and specifically include an increase of $20.1 million due to the consolidation with CSI, an increase of $1.7 million due to the impact of new and acquired theaters, net of disposed theatres. Higher same store payroll of $4.4 million due to higher business volumes as well as minimum wage increases in certain provinces. Higher amusement, gaming and leisure cost excluding CSI of $3 million due in part to the additional the WorldGaming network acquired in the third quarter of 2015. Higher 3D royalty fees of $0.7 million to the higher 3D attendance during the quarter, higher credit card fees of $0.5 million due to increased online ticket sales and general, operating cost increases due to higher business volumes. G&A expenses were $19.1 million for the quarter which were $0.2 million higher than the prior year. Interest expense of $4.8 million was $0.9 million lower than the prior year amount of $5.7 million. Contributing to the decrease was $1 million decrease in non-cash interest mainly as a result of full accretion of the EK3 earn-out in 2015. The company recorded tax expense of $5.5 million during the first quarter of 2016 comprised substantially of current tax expense. Our blended federal and provincial statutory tax rate currently is 26.8%. Net CapEx for the first quarter was $28.7 million as compared to $26.2 million in the prior year. We continue to estimate that net CapEx will be approximately $100 million for 2016. Subsequent to the quarter-end and taking advantage of the favorable credit in interest rate environment, we entered into an amended and restated credit agreement increasing our borrowing capacity to $550 million of which $400 million is a revolving facility. Record first quarter revenue contributed to strong Q1 results. We continue to remain comfortable with where Cineplex Inc., is positioned today. Our strong balance sheet and low leverage ratio allows us to continue invest in future growth opportunities for the company and benefit from future strong film product. As Ellis mentioned, we are pleased to announce 3.8% increase in the annualized dividend to a $1.62, affective with the May dividend that we paid in 2016. That concludes our remarks for this morning and we now like to turn the call over to conference operator.
Operator: [Operator Instructions] our first question comes from the line of Paul Steep at Scotia Capital. Please go ahead.
Paul Steep: Gord, maybe you can talk just a little bit about the trending you've seen in Western Canada, Alberta in particular just around CPP and how that's sort of played out over the last few months?
Gord Nelson: Sure, as we've said over the course of last say seven, eight years or so, in times of economic struggles people still go out to movies and - box office has increased seven in the last nine recessionary periods. So as expected at box office, the results are still very strong out in Alberta. We do see some minor softening in the spending at the concession stand, but I wouldn't say characterize it has significant at this point.
Paul Steep: Okay and on CDM, maybe you could talk a little bit more about the pipeline there. It was nice to see the Dairy Queen deal locked down. How did the US pipeline look guys?
Gord Nelson: So, as we said we've opened an office in the US about a year and half ago. We were very encouraged about the prospects and the opportunities and the processes that we're involved in the US. We were happy to announce the Dairy Queen agreement in the first quarter and our outlook on additional new business going forward it's still very strong.
Paul Steep: Great. I guess just one last one, I'll pass the line. There was a lot of noise in the last month CinemaCon in particular around the premium windowing strategy. Maybe if you could give us thoughts Ellis as to how to you'd view that or if it's any different than the last couple times, we've been down this path.
Ellis Jacob: Yes, Paul it's a good question and as you know, we always faced with different challenges in the exhibition business, but we can't forget that this is a $38 billion worldwide business and $11 billion North American business and Canada is close to $1 billion of that. And the studio themselves are not going to be walking away from these businesses and as we heard from, some of the biggest filmmakers say like James Cameron and Christopher Nolan that the best place to see a movie, when it's first released, it's in a movie theater. And I don't think that is going to change the market outside of North America continues to grow significantly and the desire for Hollywood movies continues to evolve in other parts of the world. So to basically, cut short the answer. We at Cineplex at committed to protecting the theatrical window, but we are always looking at different ways of working together with our distribution partners.
Paul Steep: Great, thanks guys.
Operator: Our next question comes from the line of Drew McReynolds at RBC Capital Markets. Please go ahead.
Drew McReynolds: Starting with you, Ellis. Just in terms of the big picture trend towards greater box office concentration, just would love to get your updated thoughts on whether you believe that is a firm trend that's underway across the industry and ultimately, how you think that impacts your business?
Ellis Jacob: That's a great question, as we saw in the first quarter, we had a significant amount of the box office coming out of the big five movies that were released, which is great news and the fact that, there's a real strong desire for people to come and have the experience in the theaters and we continue to raise the bar, as it comes to you know our UltraAVX premium large formats, our 3D D-BOX, IMAX 4DX, VIP's, we've got a lot of different choices for people. The key thing is I think, what you're seeing is basically the studios and our suppliers looking for the bigger films to deliver the grosses, but what's interesting is at CinemaCon, we saw basically presentation from newer studio like FBX, which is committed to delivering the middle range movies and we even saw Amazon that's now also looking at delivering movies and keeping within the required theatrical window. So as the studios move in one direction, I think you're going to see a number of these others come up with movies that will service the smaller budgets and the box office in the $50 million to $100 million range.
Drew McReynolds: Okay, that's interesting. Thanks for that. And also just following up on the tournament that finished up in March on the Eastport side, just wondering having gone through it now, just some of your key takeaways positive or negative from that experience and then what the roadmap looks like for the rest of the year and then final question, maybe for you, Gord just in terms of the ramp up in installation within CDM, can you help us for modeling purposes model that perhaps for the rest of year, at least kind of in the next couple quarters. Thank you.
Ellis Jacob: So Gord, handed out the big check, so he's going to talk.
Gord Nelson: I mean, we're creating in its, sort of unique globally in the terms of creating national permits which consist above online play and then location based play culminating in the final, feels very exciting from our perspective to watch Call of Duty in our first tournament. There response was remarkable, the media interest, the sponsor interest was very strong. The participant interest was also strong. So the title went extremely well from a logistical perspective. We're now offering our second title right now, which is Street Fighter V, which semi-final occurred on Sunday and so we'll - what we'll call national tournaments on a quarterly basis and we're going to look to do, some one-offs type titles and one-off tournaments also throughout the year, and as we look at this platform as I described this kind of unique in that we're combining online and physical based play. As we're looking to extend that into other geographies through relationships with some of our other partners and peers through [indiscernible]. With respect to your question on CDM, and the rollouts, as we've described before, certain clients look to rollout throughout their installation base very quickly and other clients will take a number of years, to rollout over their base. So I would say, once you get involved in sort of franchise type operations, you're probably talking about something that's a little bit, of a slower rollout program that something that might be a corporate-owned entity or like a financial institution.
Drew McReynolds: Okay, thank you very much.
Operator: Our next question comes from the line of Derek Lessard at TD Securities. Please go ahead.
Derek Lessard: You did talk about just to go back to the WorldGaming. You did say that, it did contribute to the digital media uplift this quarter. Just wondering, if you're able to add some color to the materiality of that?
Gord Nelson: So it was in the, it was actually in the media sort of more traditional, the tournament was based in the theater, so it's in the midst, media line opposed to the digital media line, just so you know. And it was enough to warrant [ph] a discussion in the MD&A, we're not quantifying [indiscernible] at this point in time.
Derek Lessard: Okay, fair enough and the 1.2% increase in the concession cost percentage in the quarter, just wondering if that's something you guys are typically able to pass on.
Gord Nelson: Yes and we always monitor kind of cost and first and foremost, you need to remember portion of that increase is related to increased concession sale from the VIP auditoriums. So those are typically higher priced items at lower margin. So you've got a bit of mix shift going on contributing that higher cost. So that's, in that case that's not something you would look to, that's not a cost to be passed onto consumer. Now there's a small element of food cost pressure that we're just seeing and everyone has seen related to the US and the Canadian Dollar, so that could be an item that we may look to in the future past taking [ph] not to consumers.
Derek Lessard: Okay, thanks for that and just maybe just one final modeling question. In terms of the new credit agreement, just wondering in terms of the - what will be modeling for the effective interest rates going forward?
Gord Nelson: Yes, I mean look at the - we have an existing swap in place, which goes to the 2018 and so that's not in MD&A, but yes the all-in cost will be approximately around 2.5%.
Derek Lessard: Okay, thanks everybody.
Operator: Our next question comes from the line of Rob Goff at Echelon Wealth Partners. Please go ahead.
Rob Goff: My question would go back to the Eastport again just to trying to dive a little bit deeper into that business model. If you can talk to how you're seeing the sponsorships, I know Sony is there and Asus is there. Are there other opportunities? Could you also talk to the extent that it's becoming more of an online business as oppose to in theater, how that balances? And Gord, you made reference to other geographies, is there anything else you could provide on that? Thank you.
Gord Nelson: Yes, so first on the sponsors, addition to the ones that you noted Plantronics was a sponsor as was EB Games, during the first event. I think the one, sort of key thing about sponsorship and in the space is, we just held our first event and our sponsors want to see a little bit of track record and want to see what these events are all about before they commit to their sponsorship dollars. So we were extremely encouraged by the high level of interest by the sponsors that with name, to get [indiscernible] on the first event. And so we just continue to see piqued interest going forward, so we expect that to grow with future events. With respect to the question of online versus the Canadian Championship Series versus the combination of both online and location based play, is with the press and the media surrounding the Canadian Championship Series. We've also seen the traffic grow on purely the online aspects of the site, so that's very encouraging too. And then, lastly your question on extending into other geographies as you know, as an exhibitor and looking for alternative uses for auditoriums and potentially not in periods, Eastport was high on our radar just as it is on the other exhibitors globally. So we now have a platform and our process in place that we could potentially share and partner with other exhibitors, so that's where we're seeing opportunity to potentially grow globally.
Rob Goff: Okay, thank you very much.
Operator: Our next question comes from the line of Adam Shine at National Bank Financial. Please go ahead.
Adam Shine: Ellis, when I look to the MD&A and I see the evolving revenue mix, maybe you can speak to any particular target objectives and I'll give you a bit more context. I mean, obviously we've seen media and other as a share revenues moved over of last four years for about 9% to about 20%. Obviously there are number of other initiatives on the way, in particular The Rec Room as well as some of the other media initiatives you're pursuing. Can you speak to maybe an objective over the next five years or perhaps a longer term target goal for some of these other initiatives?
Ellis Jacob: That's a great question, Adam and I'll focus as we've said in our prior calls is to continue to diversify our business model and, the less reliance on Hollywood where we have the peaks and values depending on the product that's out there and media is one area that we're focused in and we'll continue grow both on the conventional media and on the digital media side, both in the Canada and The US and move beyond that as we develop the scope, expertise and the client base. On The Rec Room, the gaming and amusement side; we see a great opportunities there because again it's using our infrastructure and what we do best in servicing our guest and once the first few start to rollout, we will see the benefits of that contribution to our overall EBITDA. So it's hard for me to target a number, but our continued focus is over the next three to five years to deliver good chunk of our EBITDA from non-Hollywood dependent product and you're going to see cost related to that as we continue to build this business into the future.
Adam Shine: Okay, I'll push you further on that, at a later date in terms of the target, but maybe one quick question and it might be really just a timing issue, but just as it relates to The Rec Room and Edmonton being pushed out from the spring into later in December as you alluded to in your opening remarks, anything to highlight there?
Ellis Jacob: No, it's basically one where we had a clean slate and we started from scratch and it's our first location and we have to make sure that it is awesome when it opens and that's our major focus. I don't think this is a rush to the finish line, it's a rush to make sure that it's the best.
Adam Shine: Super. Thank you very much.
Operator: Our next question comes from the line of Aravinda Galappatthige at Canaccord Genuity. Please go ahead.
Aravinda Galappatthige: I was wondering, Ellis, if you could sort of maybe revisit some of your base pricing plans. I just wanted to find out, when you're at a stage where you're starting to experiment with different pricing models for different periods of time more dynamically around weekends, around sort of the heaviest seasons etc. just wanted an update on that. Thanks.
Ellis Jacob: We continue to look at our pricing models and actually have done some in-depth research on where we stand as it relates to pricing. We do have a lot of pricing options, but those are mainly driven by the experience that we're offering on guests and that seems to resonate very, very well and if you look at our premium large formats, Aravinda we have some of the best premium large formats in the world today, when it comes to the box office grosses on the opening weekend of films. So even though we may represent only 6% to 7% of the box office in North America, we have 70% to 80% PLF's on opening weekends. So for us it's all about delivering value for our guests and providing them with that experience whether it's VIP, whether it's PLF, whether it's 40X and IMAX and 3D all of those areas. As far as the base ticket price and dynamic pricing, we will continue to look and evaluate that full potential especially when it comes to the big blockbuster movies, but at this point we haven't implemented anything in that direction.
Aravinda Galappatthige: Okay, great. Thanks for that Ellis and a quick question for Gord. I know we always talk about the other operating expenses item not surprisingly we saw some inflation given the level of activity. But as we look ahead, I mean obviously we have the CSI piece which is an incremental piece for a few more quarters and WGN acquisition, excluding that can we Gord, maybe expect for the lower single-digit inflation in that line item?
Gord Nelson: Yes, we typically indicate the payroll, we segregate the payroll amounts. When we look at the increase there, roughly half in the first quarter was sort of volume and half was minimum wage increases. So I would say, going forward the key drivers is the business volume and I mean, there's a such a huge increase in business volume in the first quarter on a year-over-year basis, so I know that made a challenging from your modeling perspective in terms of the overall cost, but you should have marginal inflationary increases in the cost and then, that payroll item which we segregate will vary more closely with the business volumes changes.
Aravinda Galappatthige: Okay, great. Thank you. I'll pass the line.
Operator: Our next question comes from the line of Robert Peters, Credit Suisse. Please go ahead.
Robert Peters: Gord, maybe just on CDM and just for modeling purposes. Can you give us an update on how many locations you have, now I believe you reached 10,000 at the end of the year?
Gord Nelson: Yes, so it was about I'm going to say about 10,300 or so at the end of the first quarter.
Robert Peters: Perfect, thank you very much. And when we look at The Rec Room installation pace maybe just to build on the question around the first location, are we still on track for the second location in Calgary opening this year or I know that the Ontario location is going to be a 2017 number? How should we think about the installed base going forward?
Ellis Jacob: I think you got to look at the Calgary and the Toronto location as being 2017 early openings.
Robert Peters: Perfect, thank you. And maybe you know talking on the 4DX that was interesting announcement. I was just wondering in terms of kind of setting that up at the location and getting it installed. Is that in terms of the auditorium is that just the traditional auditorium that's going to be converted or how should we kind of think about that in terms of maybe potential other retrofits at other locations?
Ellis Jacob: Well it's the existing auditorium but it's totally retrofit and you take a 300 seat auditorium and you end up with about 88 seat and these are basically special seats, which are pods, seats move with the movie and there's also as I said, wind, rain and air pocket effects there's up to 15 different effects as part of the experience and we are the third one in North America, there are two others and this is the first one in Canada.
Robert Peters: Perfect looking forward to trying it out, myself. Thank you very much.
Operator: [Operator Instructions] we will take our next question from the line of Ben Mogil at Stifel Nicolaus. Please go ahead.
Ben Mogil: First of all, Gord congratulations, very, very well deserved clearly.
Gord Nelson: Thanks, Ben.
Ben Mogil: Want to go back to Paul's question about screening room. You know the demographic that a lot of us on this call are probably is demographic that they're targeting sort of young families don't go to movies as often as they'd like to. You guys are part of fantasy on other Paramount sort of early window experiments, AMC is clearly dovetailed a little bit, the other group in terms of going down this past year right now. When you look at the world, do you see a world where there's a possibility, where you can have a basically both the ability to have your window preserved but also participating some of these digital technologies. It's kind of curious if you view a sort of as an either or anything like that.
Ellis Jacob: Ben, we've been in the forefront when it's come to innovation and as it relates to the movie technology and we would be first one in the world to do SuperTicket, which basically allows you to download and own the movie and then also watch the movie on the ESP windows. So the critical issue becomes is, I don't think the studios and then everyone want to trade dimes for nickels and the movie theater is still the engine that drives the train, as far as launching a movie. So yes, will there be experiments? We will always look at opportunities but that's not to say that we will go with one model or the other and we look to our studio partners to work together with them and we did participate in the Paramount experiment as part of it.
Ben Mogil: And then on the other sort of demographic, I know folks are focused on a lot which the Millennial's and there's been a lot of stats EMP [ph] double lay [ph] and then going a lot less [indiscernible] five to 10 years ago, when you look at things like Adam tickets sort of group volume tickets incorporating social media etc., how do you think those fit in?
Ellis Jacob: Well we're in a different place, Ben because we spent a lot of time energy and money in building up number one; a very strong loyalty program. We own our own ticketing app and we have a great relationship with our guest, not to say that Adam doesn't have good technology and we have had discussions with them, but we have to look at Cineplex on the whole website and where we sit and how we process our guest tickets all the way through and to be confident and data [indiscernible] are critical.
Ben Mogil: Sure. Okay that's great. Thank you, Ellis for both of that.
Operator: We will now take our next question from the line of Kenric Tyghe at Raymond James. Please go ahead.
Kenric Tyghe: Ellis, why don't you speak to the advertising revenue trend as specifically sort of the mixed impact with advertisers in a course of life, what we just had and then maybe just one earlier questions with the increase or more concentrated sort of slate [indiscernible] call it out of the studio, how does effect either impacting your advertiser mix or how advertiser thinking about you as a channel?
Ellis Jacob: Well the advertising continues to be strong from a theatrical perspective and also all the other mediums that we offer all the way from our magazine, which is one of the top read magazines in Canada, in addition to our websites, our loyalty programs and our mobile app, which is now been downloaded by more than 14.5 million Canadians. So when you look at it in the first quarter, the automotive was a huge part of our advertising, at the theater level and then we got others including financial services, the government and the film studios themselves. It's a great medium because you've got a captive audience and with things like Time Play, we've even added to interactivity between the guest and the movie theater screen. So some of the demographics actually come to the theater earlier to play, Time Play on the big screen. So that part of the business continues to be strong and continues to grow moving forward. And it's a positive shift from the traditional media at the cinema and out of form, which we're seeing on an ongoing basis, as agencies and advertisers move their budget from traditional media over to theater and all of the other assets that we have to offer.
Kenric Tyghe: Great, Ellis. I'll leave it at there. Thanks very much.
Operator: There are no further questions at this time. I'd like to turn the call back over to Mr. Jacob.
Ellis Jacob: Thank you all for joining us this morning and we hope you to see you all at our annual meeting next Wednesday, May 11 at 10:30 AM at Cineplex Cinemas Yonge-Dundas and VIP, our 4DX won't be ready, but you can see what's happening. Thank you.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.